Operator: Good day, and thank you for standing by. Welcome to the Eastman Kodak Q2 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Anthony Redding, Chief Compliance Officer.
Anthony Redding: Thank you, and good afternoon, everyone. I am Anthony Redding, Eastman Kodak Company's Chief Compliance Officer. Welcome to Kodak's Second Quarter 2025 Earnings Call. At 4:15 p.m. this afternoon, Kodak filed its Form 10-Q and issued its release on financial results for the second quarter and first half of 2025. You may access the presentation and webcast for today's call on our Investor Center at investor.kodak.com. During today's call, we will be making certain forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. We intend for these forward-looking statements to be covered by the safe harbor provisions for forward-looking statements contained in Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. All forward-looking statements are based upon Kodak's expectations and various assumptions. Future events or results may differ from those anticipated or those expressed in the forward-looking statements. Important factors that could cause actual events or results to differ materially from these forward-looking statements include, among others, the risks, uncertainties and other factors described in more detail in Kodak's filings with the U.S. Securities and Exchange Commission from time-to-time. There may be other factors that may cause Kodak's actual results to differ materially from the forward-looking statements. All forward-looking statements attributable to Kodak or persons acting on its behalf only apply as of the date of this presentation and are expressly qualified in their entirety by the cautionary statements included or referenced in this presentation. Kodak undertakes no obligation to update or revise forward-looking statements to reflect events or circumstances that arise after the date made or to reflect the occurrence of unanticipated events. In addition, the release just issued and the presentation provided contains certain measures that are deemed non-GAAP measures. Reconciliations to the most directly comparable GAAP measures have been provided with the release and within the presentation on our website in our Investor Center at investor.kodak.com. Speakers on today's call are Jim Continenza, Kodak's Executive Chairman and Chief Executive Officer; and David Bullwinkle, Kodak's Chief Financial Officer and Senior Vice President. We will not be holding a formal Q&A during today's call. As always, the Investor Relations team is available for follow-up. I will now turn the call over to Jim. Thank you, and good afternoon.
James V. Continenza: Welcome, everyone, and thank you for joining the second quarter 2025 investor call. As we remind everyone, we continue to execute on our long-term plan despite all the uncertainty happening in the business environment around the world from tariffs to logistics, to wars. Delevering the business and strengthening our balance sheet has been a key initiative from day 1. We continue to do that and see improvements. Investing in growth businesses, and you'll see many of them come to fruition. We invested heavy back in [ film ], paying off; EV batteries or battery substrate coating and in our medical group that we just recently launched and more to come as we go through the presentation. One of the key items in delevering and investing in business growth is by increasing our operational efficiencies. We continue to do that through technology and automation and standardized practices throughout the business. Our core business continued to perform as expected. Highlights from the second quarter include revenue of $263 million compared with $267 million for second quarter 2024, roughly flat year-over-year. I'm proud to say we continue to see revenue growth in our Advanced Materials and Chemicals business, known as AMC. Those investments are paying off, and we're excited with the progress we've made. Gross profit percentage of 19% compared with 22% for the second quarter 2024 is in line with our expectations with all the changes happening quickly in the business environment. I think it's important for me to remind our investors and our customers, our commitment to U.S. manufacturing. And I'll discuss the impact of the tariffs. But to be clear, several years ago, we brought back our heritage as a U.S. manufacturer from our manufacturing facilities up in Rochester, all motion picture film made in the U.S., [ most still film ] made in the U.S., a lot of other types of films made in the U.S., all of the Rochester plant. Our digital printers made in the U.S., our ink made in the U.S., our chemicals made in the U.S. We continue to be a U.S. manufacturer, and we're the only manufacturer of lithographic plates in the United States. Kodak is proud to be a global company and our key manufacturing taking place right here at home. These advantages helped us greatly with logistics and servicing and supplying our customers. In addition, our AMC growth initiatives include a new cGMP pharmaceutical manufacturing facility located in the United States in Rochester, New York. Our plan to continue to delever allows us to execute our long-term growth initiatives. Let's talk about tariffs. Year-to-date, tariffs did not have a material impact in our business. We're supportive of tariffs as long as they benefit the U.S. manufacturer. We would hope the impact of the tariffs would not negatively impact the last U.S. manufacturer of lithographic plates. Moving on to highlights of our commercial print business, which is still our largest business. We continue to see improvements in efficiency and products and acceptance of our products. Again, right, there's a lot going on in the world that impacts print. We continue to provide our customers with reliable supply and a full range of solutions from offset to digital print. We've completed initial sale of several PROSPER 520, which are currently being installed at customer sites as we speak. An update on our U.S.-based Advanced Materials and Chemicals Pharmaceutical initiative. As we continue to invest in our U.S. print business, we continue to also see acceleration of growth in our AM&C business. Our cGMP pharmaceutical manufacturing facility is now registered with the FDA and certified to manufacture and sell certain regulated pharmaceutical products. This initiative is an extension of our current business in unregulated pharmaceutical key starting material known as KSM. The facility will begin operation manufacturing phosphate buffered saline known as PBS for laboratory use and create a bridge to manufacturing more sophisticated products and ultimately injectables such as IV saline. Let me give you an update on Kodak's U.S. pension plan. A lot has been written about it. The KRIP termination and reversion process is proceeding as planned. We expect a significant portion of any reverted asset to be used to reduce our long-term debt and therefore, the annual cost of servicing that debt. David Bullwinkle will be providing much more detail, and you can find additional information in our Form 10-Q filing. Now I will turn it over to Dave to discuss the second quarter financial results.
David Edward Bullwinkle: Thanks, Jim, and good afternoon. Today, the company filed its Form 10-Q for the quarter ending June 30, 2025, with the SEC. As I always do, I recommend you read this filing in its entirety. Before I get into the details for the second quarter and first half of 2025, I would like to provide a brief status update on the termination and settlement process for the U.S. Kodak Retirement Income Plan or KRIP on the status of our Series C preferred stock and on the disclosure we made in our Form 10-Q filing. First and foremost, the KRIP termination and settlement process is proceeding as planned. By the close of the participant settlement election period, which ends on August 15, 2025, we expect to have a clear understanding of how we will satisfy our obligations to all planned participants. This window allows certain participants to elect whether their benefit will be settled via an annuity or a variety of lump sum options. Once that process is complete, the company intends to finalize the purchase of an annuity contract in October 2025 for participants who elect to receive regular annuity payments and payouts are expected to be distributed in November 2025 to those who choose to receive lump sums. We expect KRIP to distribute excess assets to the company and the Kodak cash balance replacement plan in December of 2025. At this time, our best estimate of pension assets that will revert to the company from the settlement of KRIP is approximately $500 million with approximately $300 million of this in cash and the remaining amount in illiquid assets, primarily hedge funds, which are in the process of redemption. A large portion of the reverted cash will be used to reduce term debt as required by the company's credit agreements. Please note, as previously disclosed, this time frame is subject to factors beyond Kodak's control, including, but not limited to, the regulatory review and approval of various aspects of the terms of KRIP, KRIP's activities and the termination and liquidation process. Additionally, we are pleased to report on August 8, 2025, the Series C preferred stock held by Grand Oaks Capital was exchanged for shares of common stock of the company at an exchange price of $8.25 per common share. On the date of exchange, the shares issued represented approximately 15.7% of the outstanding shares of common stock of the company post exchange. This exchange eliminates the entire outstanding amount of the original $100 million in Series C preferred stock, which had a mandatory redemption date of May 28, 2026, and over $24 million of outstanding accrued paid-in-kind dividends. Finally, included in our Form 10-Q filing is disclosure regarding the company's determination that there is substantial doubt about its ability to continue as a going concern. This disclosure is driven by the existing Series B preferred stock not being extended or refinanced past the current mandatory redemption date of May 28, 2026, and the spring maturity of the company's term loan, which is May 22, 2026, or 5 days before the mandatory redemption date of the company's Series B preferred stock. As a result, both the Series B preferred stock and term loan contractual maturity is within 12 months. The company chose not to extend the maturity of or replace the Series B preferred stock based on unacceptable terms in light of the 4% dividend rate for the remainder of the term. As we have discussed and disclosed, the company's plan to address these maturing obligations is to complete the termination of KRIP and revert excess cash and assets of approximately $500 million to the company by December 2025 prior to the maturity dates in May 2026. The company expects to use cash received to repay the term loans and subsequently refinance or extend our remaining preferred stock and debt obligations. As these plans are not solely within the company's control and therefore, are not deemed probable as defined under U.S. GAAP accounting rules, we are required to provide this disclosure. Please refer to the Form 10-Q filed with the SEC today for further information and disclosure. In order to provide the flexibility to generate additional liquidity for the company, we entered into an ATM equity offering sales agreement with BofA Securities, Inc. on May 21, 2025. Under this agreement, the company may offer and sell up to $100 million of shares of Kodak's common stock from time-to-time in at- the-market offerings through BofA as sales agent or as principal. If executed, we intend to use the net proceeds from the sale of the shares for general corporate purposes. To date, the company has not sold any shares under this arrangement. The company also has the ability under the term loan credit agreement amendment entered into in May 2025 to pay the cash interest payment entirely in PIK for the next 6 quarterly interest payments. The company elected to pay the cash interest payment for the second quarter of 2025 entirely in PIK. We are also exploring various opportunities to reduce or eliminate restricted cash on our balance sheet. As of June 30, 2025, the total amount of restricted cash was $98 million. I will now share details on the full company results, operational EBITDA and cash flow for the second quarter and first half of 2025. Kodak continued to build on its strong foundation during the second quarter of 2025. In the face of an extremely difficult global environment with economic uncertainties around global trade and inflation, Kodak delivered results that were within our expectations. These results reflect the continued focus on executing against our priorities and long-term plan, including driving smart revenue, implementing pricing rationalization and cost reductions, launching new products and investing in innovation and information technology systems to increase our operational efficiency. On Slide 7, we reported revenues of $263 million for the second quarter of 2025 compared to $267 million in the prior year quarter, for a decline of $4 million or 1%. On a constant currency basis, revenue decreased by $9 million or 3% when compared to the prior year quarter. The lower decline in revenue reflects our ongoing focus on driving smart revenue and strong profitability. The continued revenue growth in our Advanced Materials and Chemicals business manifests the results of our efforts. Gross profit decreased by $7 million or 12% when compared to the prior year quarter. Excluding the impact of foreign exchange, gross profit declined by $8 million or 14% when compared to the prior year quarter. Our gross profit percentage was 19% in the second quarter of 2025 compared to 22% in the prior year quarter. Gross profit for the second quarter of 2025 was unfavorably impacted by lower volumes and higher aluminum and manufacturing costs, partially offset by price increases. On a U.S. GAAP basis, we reported a net loss of $26 million for the second quarter of 2025 compared to net income of $26 million in the prior year quarter, a decrease of $52 million, $17 million of this decrease was for a noncash asset impairment charge in the current year quarter related to an equity investment held by the company. After adjusting for the noncash asset impairment charge, net loss was $9 million for the second quarter of 2025 compared to net income of $26 million in the prior year quarter, a decrease of $35 million. This decrease was largely driven by a $25 million decline in pension income, excluding service cost component, given our change in strategy for the KRIP, which resulted in a lower expected return on assets. Operational EBITDA for the second quarter of 2025 was $9 million compared to $12 million in the prior year quarter for a decline of $3 million. Excluding the impact of foreign exchange in the current year quarter, operational EBITDA declined by $4 million when compared to the prior year quarter. Operational EBITDA for the second quarter of 2025 was unfavorably impacted by lower volumes and higher aluminum and manufacturing costs, partially offset by price increases and lower spend on investments in IT systems, organizational structure and costs associated with trade shows. Turning to Slide 8. For the first half of 2025, we reported revenues of $510 million compared to $516 million in the prior year period for a decrease of $6 million or 1%. Adjusting for the impact of foreign exchange of $2 million in the current year period, revenue decreased by $8 million or 2% when compared to the prior year period. Gross profit decreased by $10 million or 9% when compared to the prior year period. Foreign exchange had no impact on gross profit in the current year period. Our gross profit percentage was 19% for the first half of 2025 compared to 21% in the prior year period. Gross profit for the first half of 2025 was unfavorably impacted by lower volumes and higher aluminum and manufacturing costs, partially offset by price increases. On a U.S. GAAP basis, we reported a net loss of $33 million for the first half of 2025 compared to net income of $58 million in the prior year period, a decrease of $91 million, $17 million of this decrease was for a noncash asset impairment charge in the current year period related to an equity investment as previously indicated. After adjusting for the noncash asset impairment charge of $17 million in the current year period, a net gain on the sale of assets of $17 million in the prior year period and noncash changes in workers' compensation and employee benefit reserves, net loss for the first half of 2025 was $15 million compared to net income of $40 million in the prior year period for a decrease of $55 million. This decrease was largely driven by a $44 million decline in pension income, excluding service cost component related to the KRIP as stated earlier. Operational EBITDA for the first half of 2025 was $11 million compared to $16 million in the prior year period for a decline of $5 million. Excluding the impact of noncash changes in workers' compensation and employee benefit reserves in the current and prior year periods, operational EBITDA decreased by $3 million when compared to the prior year period. Foreign exchange had no impact on operational EBITDA in the current year period. Operational EBITDA for the first half of 2025 was unfavorably impacted by lower volumes and higher aluminum and manufacturing costs, partially offset by price increases and lower spend on investments on organizational structure changes. Moving on to the company's cash performance presented on Slide 9. The company ended the second quarter with an unrestricted cash balance of $155 million, a decrease of $46 million from December 31, 2024, of which $43 million occurred in the first quarter of 2025. This reflects significant improvement in our use of cash during the second quarter of 2025. Our use of cash was primarily driven by our continued investments in Advanced Materials and Chemicals growth initiatives and increased commodity and manufacturing costs. Foreign exchange had a favorable impact on cash of $5 million in the current year period. Cash used in operating activities was $30 million for the first half of 2025, primarily driven by the use of cash from net earnings of $4 million and a use of cash from balance sheet changes of $26 million, including a change in working capital of $24 million, a decrease in miscellaneous receivables of $3 million and a decrease in other liabilities of $21 million. Within working capital, accounts payable decreased by $8 million, inventory increased by $13 million and accounts receivable increased by $3 million. The change in working capital for the prior year period included the impact of $40 million of cash proceeds from brand licensing. The team continues to focus on improving profitability and performance in working capital, which enhances the company's ability to generate cash. Cash used in investing activities was $19 million for the current year period compared to $2 million in the prior year period, primarily due to a decrease in proceeds received of $12 million related to the sale of assets and an increase in capital expenditures of $5 million, primarily driven by our investments in Advanced Materials and Chemicals business. Cash used in financing activities for the first half of 2025 improved by $16 million when compared to the prior year period, primarily driven by the $17 million prepayment of the amended and restated term loan agreement made in the prior year period. Restricted cash decreased by $2 million when compared to the balance as of December 31, 2024, primarily driven by strategic efforts to reduce cash collateral and escrow requirements for certain company obligations and business arrangements. Restricted cash primarily represents cash collateral supporting the company's undiscounted actuarial workers' compensation obligations with the New York State Workers' Compensation Board and cash collateral required under the letter of credit facility in addition to escrows to secure various ongoing obligations. As I stated earlier, we continue to focus on opportunities to reduce restrictions on cash. As presented on the bottom portion of the slide, excluding the change in restricted cash and the effects of foreign exchange, the company recognized a $52 million decrease in cash and cash equivalents in the first half of 2025 when compared to the prior year period. We remain committed to maintaining the strength of the foundation we have worked diligently to create. This foundation provides us the opportunity to fund our ongoing operations, invest in our growth initiatives and convert our historical investments into returns for the long term. Finally, as disclosed in our Form 10-Q, we remain in compliance with all applicable financial covenants. I will now turn the discussion back to Jim. Thank you.
James V. Continenza: Thank you, Dave. In summary, some key messages to walk away from this call is we continue to fix our balance sheet by delevering the business and investing in growth areas. As an American manufacturer for over 100 years, we remain committed to manufacturing in the U.S. and expect U.S. tariffs to protect U.S. businesses like ours. Our cGMP pharmaceutical manufacturing facility is now registered with the FDA and certified to manufacture and sell regulated pharmaceutical products, starting with PBS, again, phosphate buffered saline. Again, just as a reminder, our U.S. pension plan termination and reversion process is right on track with expectations. And we plan to use excess assets to pay down debt and reduce our interest costs, allowing Kodak to continue to invest in profitable growth businesses. I want to make sure I thank all of our employees around the world for all their hard work and all of our customers around the world for their loyalty. I'd like to thank our shareholders for continuing to believe in us and invest in us. We are committed to working through the uncertain business environment and executing our long-term plan and delivering shareholder value for all of our investors. Thank you, and have a good day.
Operator: And this concludes today's conference call. Thank you for participating. You may now disconnect. Have a good day.